Operator: Hello. And welcome to the Franklin Electric Co., Inc. reports first quarter 2025 Sales and Earnings Conference Call. At this time, all after the speaker presentation, there will be a question and answer session. To ask a question during the session, you will need to press 11 on your telephone. You will then hear an automated message advising your hand has been raised. To withdraw your question, please press 11 again. Please be advised that today's conference is being recorded. It is now my pleasure to introduce Interim Chief Financial Officer, Russ Pfleger.
Russ Pfleger: Welcome everyone to Franklin Electric Co., Inc.'s first quarter 2025 earnings conference call. Joining me today is Joe Ruzynski, our Chief Executive Officer. On today's call, Joe will review our first quarter business highlights, then I will provide additional details on our financial performance, and Joe will make some additional comments related to our key growth and value drivers along with our outlook. We will then take questions. Before we begin, let me remind you that as we conduct this call, we will be making forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These statements are subject to various risks and uncertainties, many of which could cause actual results to differ materially from such forward-looking statements. A discussion of these factors may be found in the company's annual report on Form 10-Ks and today's earnings release. All forward-looking statements made during this call are based on information currently available and except as required by law, the company assumes no obligation to update any forward-looking statements. Earlier today, we published a slide deck to accompany our prepared remarks. The slides, titled Q1 2025 Earnings Presentation, can be found in the Investor Relations section of our corporate website at www.Franklin-Electric.com. With that, I will now turn the call over to Joe. Alright. Good morning, everyone, and thank you for joining today's call.
Joe Ruzynski: Before we begin, I'd like to take a moment to welcome Russ Pfleger, who recently took on the role of interim chief financial officer and will report our financials today. Russ has been with Franklin Electric Co., Inc. since 2023, serving as CFO of our water systems segment and brings more than twenty years of financial leadership experience into the company. We thank Russ for his commitment and stepping into this role, and I look forward to continuing our partnership. With that, I would like to begin my thoughts on the first quarter on slide three. Our underlying business performed in line with expectations. While we worked through some weather-related challenges earlier in the quarter, our distribution business, the positive order trend from last year carried into the first quarter, supporting a robust backlog in Q1 and giving us confidence as we look ahead. As we execute our strategy, we are focused on faster-growing markets, making great use of our healthy balance sheet, driving efficiency in our operations, and building processes and teams to continue to deliver great service to our customers. We are pleased with our two acquisitions completed in the first quarter, bringing two great businesses and strong products into our portfolio. We expect integration to be well executed for these businesses to deliver great value to our customers. I'll touch on these topics later in the presentation. Our energy systems segment delivered strong results, which helped offset the slower start in our distribution business, demonstrating the strength of our diversified global portfolio. Several one-time costs were a drag on first-quarter results, namely expenses related to an executive transition and recent acquisitions. However, our core business fundamentals remain strong, and I'm pleased with the response from our global teams to the uncertainty surrounding the tariff environment. Moving to page four on the slide deck, I'd like to take a moment to thank our global Franklin Electric Co., Inc. team. Our commitment to serving customers, bringing great products to market, and leading in a difficult environment has shown great momentum. These past few months have been challenging as we navigate tariffs, acquisitions, and accelerating our strategy. While my first few quarters have brought some change to our structure and focus, the response, dedication, leadership, and support from our global team have been amazing. We will continue to build on our great history and reputation as we grow in 2025. Turning to results on slide five, consolidated sales were down slightly as growth in our Water Systems and Energy Systems segment were offset by a decline in our distribution segment. Gross margin was up slightly for the quarter at 36%, showing an underlying operating strength even as we navigated two acquisitions, some FX headwind, and a slower market. Operating margins for the quarter were 10%, down slightly year over year, as we absorbed one-time SG&A costs tied to an executive transition and acquisition-related expenses. Excluding these items, totaled about $0.07 of EPS, SG&A costs were favorable as compared to the prior year as we realized the benefit of our restructuring actions from previous quarters. Considering the challenging macroeconomic environment and one-time costs, we are pleased with our performance and view this quarter as a productive start to the year. Before I turn the call over to Russ to discuss the financials in detail, I'd like to give an overview of our segment performance where we've seen some momentum. The water system segment delivered flat sales for the first quarter, in line with our expectations, as unfavorable volumes were offset by strong pricing actions. Additionally, the negative impact from foreign currency translation was mostly offset by incremental sales from our recent acquisitions. We also lapped what we anticipated to be the final quarter of a difficult comparable period. As a reminder, we capitalized on the pent-up demand of our U.S. fleet business for large dewatering products during the prior year period. The water treatment we continue to see strength despite a weaker housing environment. And the U.S. groundwater market remains healthy. Outside the U.S., performance was solid despite some currency-related headwinds in South America and Turkey. Energy Systems delivered another strong quarter with sales up 8%, reflecting both positive market dynamics and solid execution by the team as both pricing and volumes were favorable. We recorded growth across key product lines supported by robust demand in the U.S. energy sector. While our critical asset monitoring business had a slightly slower start to the year, we feel good about this activity in this space and expect to ramp up in the coming quarters. Energy Systems continues to demonstrate our ability to execute and drive productivity and deliver great new solutions. The segment operating margins increased by 250 basis points in the quarter. Our distribution business faced some short-term weather-related disruption, particularly in the U.S. Midwest where road restrictions due to frost impacted field installations for several weeks. However, we are encouraged by the team's ability to hold margin despite these challenges and softer sales. The fundamentals of this business remain solid and the market has improved throughout the quarter. We are committed to delivering premier customer service, driving margin efficiencies through our recent cost actions, and process improvements along with maintaining pricing discipline. Taken together, the performances across our segments highlight the resilience and diversity of our portfolio. Our adaptability to changing conditions while we continue to invest in long-term growth. Now I'm gonna hand the call over to Russ to review our financials in more detail.
Russ Pfleger: Thanks, Joe. Our fully diluted earnings per share were $0.67 for the first quarter 2025, versus $0.70 for the first quarter 2024. While down from the prior year, we were pleased with the results from our base business. Moving to Slide six. First quarter 2025 consolidated sales were $455.2 million, a year-over-year decrease of 1%. The sales decrease in the first quarter was primarily due to the negative impact of foreign currency translation and lower volumes in the distribution and water system segment, partially offset by the incremental sales impact from recent acquisitions as well as favorable results in the Energy Systems segment. Franklin Electric Co., Inc.'s consolidated gross profit was $163.9 million for the first quarter, up from the prior year's gross profit of $163.6 million. Gross profit as a percentage of sales was 36% in the first quarter, an improvement of 50 basis points compared to the prior year. Selling, general, and administrative expenses were $119.6 million in the first quarter of 2025 compared to $115.6 million in the first quarter of 2024. The increase in SG&A expenses was primarily due to employee separation costs related to an executive transition and the additional expense of our 2025 acquisitions including various deal-related costs. Consolidated operating income was $44.1 million in the first quarter of 2025, down $3.8 million or 8% from $47.9 million in the first quarter of 2024. The decrease in operating income was primarily due to the higher SG&A costs previously mentioned. The first quarter 2025 operating income margin was 9.7%, versus 10.4% in the first quarter of 2024. Moving to segment results on slide seven. Water system sales in the U.S. and Canada were up 2% compared to the first quarter of 2024. At a product level, sales of groundwater pumping equipment increased 6% and sales of water treatment products increased 7%. While sales of large dewatering equipment decreased 8% and sales of all other surface pumping equipment decreased 7% when compared to Q1 2024. Acquisitions contributed a 1% increase in sales and were offset by the negative impact of foreign currency translation. Water system sales in markets outside the U.S. and Canada decreased 2% overall. Foreign currency translation decreased sales by 5%, and recent acquisitions added roughly 4%. Excluding the impact of acquisitions and foreign currency translation, sales in the first quarter of 2025 increased low single digits in EMEA, were roughly flat in Asia Pacific, and were down low single digits in Latin America. Water Systems operating income was $43.4 million, down $3.7 million versus the first quarter of 2024. The decrease was primarily due to lower gross margin and higher SG&A costs, primarily related to our recent acquisitions, as well as the negative impact of foreign exchange. The operating income margin was 15.1%, a year-over-year decrease of 30 basis points. Distribution's first quarter sales were $141.9 million, versus first quarter 2024 sales of $147 million, a decrease of 3%. The distribution segment sales decrease was primarily due to lower volumes and the negative impact of commodity price declines. Distribution segment operating income was $2.1 million for the first quarter, a year-over-year increase of $300,000. Operating income margin was 1.5% of sales in the first quarter, an improvement of 30 basis points versus the prior year. Energy system sales in the first quarter were $66.8 million, an increase of $4.7 million or 8% compared to the first quarter of 2024. Energy system sales in the U.S. and Canada increased 10% compared to the first quarter. Outside the U.S. and Canada, energy system sales decreased 6%. Energy Systems operating income was $21.9 million compared to $18.8 million in the first quarter of 2024. The first quarter 2025 operating income margin was 32.8% compared to 30.3% in the prior year, an improvement of 250 basis points. Operating income margin increased primarily due to favorable geographic mix of sales, as well as price realization and cost management. The effective tax rate was 25% for the quarter, compared to 22% in the prior year quarter. This change in the effective tax rate was driven by an increase in foreign earnings taxed at rates higher than the U.S. and less favorable discrete items, and had an impact on EPS of approximately 3¢. Moving to the balance sheet and cash flows on slide eight. The company ended the first quarter of 2025 with a cash balance of $84 million and with $64 million outstanding under its revolving credit agreement. We used $19.5 million in net cash flows from operating activities during the first quarter, compared to $1.4 million in the first quarter of 2024, as we invested in higher inventory levels to get ahead of potential tariffs. We also invested $110 million for the Barnes and PumpEng acquisitions during the quarter. The company purchased about 56,000 shares of its common stock for approximately $5.4 million in the open market during the first quarter of 2025. As of the end of the first quarter of 2025, the total remaining authorized shares that may be repurchased is about 1.3 million. Yesterday, the company announced a quarterly cash dividend of 26.5¢. The dividend will be payable May 22 to shareholders of record on May 8. Moving to Slide nine. While our underlying demand remains strong and plans to manage the tariff environment are in place, we are adjusting the lower end of our EPS guidance by $0.10 and holding our full-year sales expectations of $2.09 to $2.15 billion but adjusting our GAAP EPS to a range of $3.95 to $4.25. While we have price and mitigation plans to account for the tariffs, this range reflects some further restructuring and growth investments we plan to take in 2025, uncertainty in the market, and some added expense and accelerating adjustments to our supply chain. Now I will turn the call back to Joe for some additional comments. Thanks, Russ.
Joe Ruzynski: Turning to slide 10, I'd like to bring back our value creation framework, which we introduced last quarter. Our framework is anchored on four key pillars: growth acceleration, resilient margins, strategic investments, and top-tier talent. For growth, we're leveraging our strong customer relationships, focusing on high-growth verticals, and utilizing our global presence to introduce new innovative solutions across our various markets. Our margin integrity is supported by our efficient operating system and data-driven tools. Strategic investments, including M&A, enhance our competitive positioning, and our commitment to attracting, developing, and retaining top talent drives our value engine forward. Moving to slide 11, I want to highlight an increased focus on new products and innovation in the markets we know well and the ones we feel are growing faster. We've launched a series of initiatives in the past year to increase our velocity, focus on fewer, more impactful launches, and use our new product development methodology to increase our speed to market. We have some aggressive goals for 2025 and expect this trend to continue over the next few years. Here are a few examples of exciting new products in dewatering, building off recent acquisitions, and incorporating new features to bring these products and dewatering systems to new markets. And two new solutions for our energy systems segment, the first, our oversight solution is an innovative to help our major marketers remotely monitor and recover critical systems during power disruptions. The second, our new optimizer product, which detects potential circuit breaker deficiencies and enables proactive maintenance actions. Moving to slide 12. During the quarter, we executed two strategic acquisitions, PumpEng, a dewatering pumping business focused on the mining industry and the dewatering market based in Perth, Australia, and Barnsley, Columbia, highlighted here, a serial pump manufacturer based in Bogota, Columbia, with assembly locations across Latin America. These two acquisitions enhance our product portfolio, expand and enhance our channel reach, and add vertically integrated businesses including good foundry capacity in regions which Franklin Electric Co., Inc. already has a strong presence. Welcome to our new team members. Before we open it up for Q&A, I want to take a moment to address the current tariff environment and how we're managing through it. At present, in a strong competitive position and we feel good about where we stand. We have yet to see any broad-based impacts to demand, though it's possible that we see some pressure as customers react to a changing trade landscape. That said, our business is largely in region for region and centered around replacement demand, which historically tends to be resilient even in periods of broader economic softness. We continue to remain highly engaged with our supply partners and customers, and we're monitoring forward indicators closely. While our guidance incorporates all known tariffs, we expect that we will have more visibility in the medium to long-term tariff environment and we'll be prepared to talk about any future impacts when we speak again in July. Within our supply chain, we moved selectively to position inventory for success. While a slight Q1 drag on working capital, we felt it was prudent to best position our business to mitigate potential tariff unknowns. We were also active on the cost and pricing front, working to reduce our costs where we can and diligently pass along costs where appropriate. Our team has historically done a fantastic job of navigating through various economic cycles and periods of uncertainty, and I'm proud of their execution this quarter. We put our proven playbook to work, and we feel we have an opportunity to gain share in regions with meaningful manufacturing footprints. We've taken thoughtful actions on inventory, pricing, and cost optimization and remain confident and optimistic about our competitive position. We will now turn the call over to Andrew for questions. Thank you. As a reminder, to ask a question, please press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. One moment please for our first question. First question comes from the line of Ryan Connors with Northcoast Research.
Ryan Connors: Morning. Good morning, Ryan. Few questions here. So wanted to actually start on the energy segment. Really just remarkable margins there. Almost a third of the profitability, really, on an operating income in the quarter. So should we be extrapolating that type of margin? Or is that mix benefit that really boosted it in the first quarter? Should we expect that to kind of normalize as we move into the middle part of the year? Yeah, think Ryan on that, what we've said is we don't expect the same growth that you've seen over the last five or six quarters. But we do expect to hold those margins, at a strong state. And really the reason there's a couple reasons for that. One is we've migrated that business to smarter solutions for our end customers. So you see a general movement to those products and a lift that that provides to margins. So a little bit less on the commodity side, more on the smarter solutions. They also did a great job managing price, managing productivity. Which contributed to their Q1 result. We would expect those margins to stay strong, but not to see, you know, the continued increase that you've seen over the last four or five quarters or so. Got it. Okay. And then secondly, on the on the water segment, you talk about healthy order trends, is great to hear. But you yourself also mentioned you're investing in inventory. Any sign that there's some kind of a tariff pull forward associated with that with that order growth or or you think that's really organic? Well, we tend to think it's organic. You know, we've looked for bullwhips in the supply chain. We've looked for people making big pulls ahead. I think, you know, related to the inventory positioning, we use the term selective. For a reason. And that is, you know, products that we felt were most exposed. We've got a you know, relative to some of our peers, relative small exposure to China, but we still wanted to make sure that we were positioning well, and it it turns out that was prudent. We when we look at our channel, we see some selective positioning and selective buildup, but it's not across the board. And our in our view of inventory, in the channel is that it's at a relatively stable position. So some of that increase, you know, we we made sure that our channels were well stocked and we were prepared for it. But we haven't seen a huge pull in our channels and we don't think we're sitting on heavy inventory in the channels from a from a historical standpoint as we get ready for busy season and especially related to to the tariff environment. Yeah. If I Okay. Just add on that. You know, a significant chunk of our build of inventory, if you look on a a sequential basis on a quarter over quarter and a over 2024 quarter. Was the two acquisitions that we made in in March. And we ended 2024 at the lowest level of total inventory in the last three to four years. We generally have a fairly sizable build in Q1 to get into the busy season. Now some of that season was was delayed in our distribution business because of the weather that Joe spoke about, but we feel pretty good about the inventory level and and where we sit right now. Got it. Okay. And then just a couple others, on distribution. Is M&A still a priority there? I know it we were very active in M&A for a while. It seems to have slowed down. Is that due to there being a lack of assets for sale, or is or is it just less of a strategic priority? Curious on the M&A there. And then also, with distribution, what does the weather comp look like in the second quarter? I know that's a headwind in 1Q. Just trying to get a sense of the setup for the second quarter. Yeah. Well, we'll take those in order. I think on the first one, you know, we're always still active and staying close to the market. If there's there's a good acquisition for us in the distribution space. One thing we've been working on, and I alluded it alluded to it in the script, is you know, we also feel that we've got some benefit in terms of how we serve because we've got a great footprint. And bringing some of those efficiencies know, after the last three, four years of acquisitions. That's a it's a key focus for us. But we're not we're not opposed to doing another deal in that space. Think our focus right now is, you know, serving the market building those efficiencies, and making sure that we can execute, you know, kind of unparalleled. So yeah, that's where we sit right now for acquisition. I think related to the weather weather pattern in Q2, know, we feel we're in a better position where we been coming into last year. You know, we've kind of seen a flip in terms of one of the wettest years last year that we've gone through and and and a year that looks more normal this year, and we definitely see that. I think if you if you look at the the move to a weather pattern that's drier, you know, we see that benefit starting to show up in some of our regions. I think the blip in in in the Upper Midwest related some of the frost restrictions was just basically due to a very, very warm warm winter last year where the restrictions came up earlier, and we got that benefit in March. And this year, it was pushed out three, four weeks. So but Q2, from what we can see right now, we feel good about the weather pattern. You know? Obviously, hard to predict, but that's that's kind of where we sit right now. Yep. Okay. Super. Thanks for your time this morning. Thanks, Ryan. Thank you. Thank you.
Operator: And our next question comes from the line of Matt Summerville with D. A. Davidson.
Matt Summerville: Morning, Matt. Couple of questions. I just wanna make sure I understand the tariff exposure. While you're seemingly able to mitigate it, I guess I wanna understand if it were to go unmitigated, what would your current tariff exposure look like? And then, you know, help me help me sort of understand how the groundwater business is performing in North America when you think about it in terms of the residential side of it. And the ag side? And then I may have a follow-up. Sounds good. I'll take the I'll take the tariff overview, and then I'll turn it over to Russ. He can give you some more detail on groundwater. Tariffs obviously have been in place for the last few years. So coming into this year, as we do every year, is to make sure that we're we're more than accounting price price plus productivity to offset inflation, and and we had a good start to the year. We added not quite $60 million of exposure, you know, over the course of Liberation Day and and some of the other tariffs that were put on. So so that is that was the target for us to make sure that we mitigated and offset. And and we've had a series of increases. We've we've tried to be thoughtful and measured in terms of what we can account for internally and what we need to pass along. And most of those actions have been taken. Clearly, it's hard to predict exactly what's gonna happen with tariffs. You know? As you know, Matt, you've you've been on these calls here the last few weeks. What we wanted to do is to make sure that we kind of played forward a few different scenarios for what could happen, and I feel we're in a in a strong position this year to do that. So so, again, offset for this year, we feel we're in a healthy spot. In addition, we're looking to to take some other actions to make a few other changes to our footprint and supply chain just to make sure we're in a better spot to serve customers as we go forward. Russ, do you wanna cover groundwater? Yeah. Your question on growth in groundwater, on the residential side in the first quarter, resi was up about 11%. TAG was up about 3%. Now I will caution that that residential number does include some sales to our distribution partners at Headwater. That you we will see in the eliminations. But the that aside, the market was strong for us in mid single digit growth. So, you know, pretty strong there, and the the order book is is largely held up as well. Thanks. And then just, just as a follow-up to to the question on the order book, can you maybe talk about what your order organic book to bill looked like in water in Q1. And then from an M&A standpoint, Joe, I I think you've indicated in the past maybe a willingness to explore something a bit more transformational for Franklin. Maybe just an update on your thought there and and how that you know, funnel may be developing for you guys. Thanks. Yeah. Yeah. I'll start with that with that last question. It's a good good question, and that, you know, as I probably have told you before, as a as a CEO in his first year, there's a lot of good ideas that come our way and and you know, and myself with with John Brandon, our counsel, and and his team we're staying very close to what we think is gonna be know, a nice funnel and some good opportunities. I think, you know, we've got opportunities in two spaces. Obviously, some of the strategic bolt-ons that that us in a strong position around the world, you saw that in Q1. We'll continue to look for for those those deals. I think related to something that's more strategic, yeah, we we are open to it. I think you know, our position with a healthy balance sheet and and the ability to to be smart about these deals puts us in a nice spot. So we're working on on networking. We're working with our partners to to make sure that, you know, we've got good visibility to what may be coming up and we're still positive about that. And, some of the noise and some of the disruption, you know, here over the last sixty days, you know, we're making sure that we're prudent with capital. But I still think that, you know, there's gonna be opportunities to do something more strategic and, you know, we're keeping our ears to the ground. And then any, quantification you have on organic book to bill in water in the quarter? Thank you. Oh, yeah. Sure. Yeah. On on the book to bill, the book to bill was above a one for the quarter. Our backlog you know, I will caution again. Backlog incorporates some of our industrial business with fleet, but it was up you know, mid to high single digits in the quarter. Got it. Guys. Yep. Thank you, Matt. Thank you.
Operator: And our next question comes from the line of Walter Liptak with Seaport Research.
Walter Liptak: Hi. Thanks. Good morning, guys. Good morning, Walt. Just a couple of follow-ups. First, on the tariffs. I wonder if you could you could help us understand the supply chain that you have from from China. And, you know, any percentages that you give us of cost of goods sold, things like that, do you still have ample supply? And it sounds like you can you can pass along any kind of tariff-related pricing. Is that correct way to think about it? Yeah, that's correct. Well, you know, our overall percentage of COGS from China is under 10%. So we're not we're not hugely exposed there. And some of some of our opportunity or some of that exposure, I would say, hits us in a couple product areas that that we worked to try to mitigate before coming into the second quarter. Hence our comments on some inventory pull. And I think there's further opportunity to do that. You know, I referenced the Barnes deal. One of the things that we love about the Barnes deal is is giving us added foundry capacity in The Americas. That we can we can take our tools and look at repositioning. So we're continuing to do that. We're gonna make some investments to go faster. And we feel good about about that that ability to protect ourselves from any future noise or disruption there, specifically to China. So yeah, that's that's that's the view on China and our exposure and some actions there. Was there was there another question I'm Okay. Getting right Yeah. Yeah. And then just, you know, kind of a follow on to the sectors. You know, I I wonder if you could talk a little bit about just the, you know, the resi sounds like it's on a better footing. You know, why why do you think you're seeing better growth this year, maybe talk a little bit about how, you know, April's going. And then, you know, with the with the groundwater and ag, you know, how is you know, it seems like it's a lot hotter and drier this year and an an easier comp. You know, how's the the visibility as you're getting into the second quarter? Yeah. Maybe just start on Resi and and and we can then give a couple of comments on just groundwater and ag overall. But resi, obviously, housing starts and sales aren't aren't aren't the driver for that growth for us. So what we've done here over the last few years in the water treatment business and then and then in the water business is really to focus on on how we serve, on making sure that we've got the right footprint, and, and putting ourselves in a good position to grow. So we view that as as, you know, we're taking some share in that resi space. But all of our indicators were positive in Q1, continue to be positive in April. So, you know, any boost, any help, any that comes our way from a from an overall macro standpoint would be would be in addition to that. But we feel good about about our position thus far, and Resi continues to stay strong. I think your question, you know, back to my weather comments earlier, just groundwater in general, you know, municipal ag, etcetera, we think is, you know, at least from a weather standpoint, it's it's it's a more supportive environment this year than it was last year. So those are, you know, trends that we're looking out for on a on a daily and a weekly here. But from what we see right now, hotter and drier, I think, is is an accurate representation. Okay. Great. Okay. Thank you. Thank you.
Operator: And our next question comes from the line of Michael Halloran with R. W. Baird.
Michael Halloran: Hey, good morning guys. Morning, Mike. So want to clarify the guidance as you think about the year from two respects. First, you know, are we implicitly saying pricing up some organic demand down some to kind of hold that revenue range or are we just saying we don't totally know yet, so it as an offset against each other is fair. And then secondarily, maybe just some thoughts on how you're expecting the cadencing to play out through the year. Is this just relatively normal seasonality? Based on what we know right now, and then we'll adjust as we, you know, if the uncertainty does or does not hit the hit the P&L. Yeah. To your first question, Mike, that's that's a good assumption you're making, which is, you know, pricing will be up. But we expect for some pockets of our products that that would push down some of the organic growth. So that is that is roughly the offset that you see, which is why we're holding sales because there'll be some lift to price, but obviously some pressure on volume. And and that pressure, you know, comes in in a couple very specific segments, so we're keeping a close eye on that. But that is the offset that we that we had made as we as we put that guidance together. In terms of the cadence, yeah, some seasonality and distribution in in quarter one. The busy season as we see it right now, our indicators are it looks it looks, generally positive. So so we see momentum, you know, as I mentioned before, as we kind of the quarter, we see order rates, you know, largely in line with what we expected as we get into into the April here. I think the back half for us is is you know, obviously, lot can change. The world is a moving place. Here. But, you know, for the most part, we feel good about our plans. Where we can see a little further out in terms of backlog, you know, take for an example, the energy business, strong backlogs and and and feel relatively good about about the next couple quarters. I think it's harder for us to see in that distribution business where it's it's obviously shorter cycle. But, you know, what we tend to look there is is that, short cycle trends, leading indicators. We talk to and put a heat map together for our major customers, the the drillers, etcetera. And, you know, there's there's a general confidence there, in terms of the outlook and in terms of the order book. And and two more just related to that. Remind me what's percentage of replacement is for your distribution and your water businesses on the more, you know, submersible side of things? It's it's north of 70, 75%. And then lastly, just just in in light of all the tariffs, maybe just a thought from your perspective on how your footprint positioned competitively all else equal? Yeah. Well, you know, one is I might comment on in region, for region. It's important for us. We've never been a big chasing that product has never been has never been Franklin Electric Co., Inc.'s key focus. We've we've worked on putting manufacturing footprint close to where we serve. Now that's not that's not pure or perfect, but in general, that's been part of our strategy. You know, when I look at some of our investments and and Russ alluded to a few investments that we wanna accelerate and make sure that that that we get well executed this year. We're expanding our manufacturing footprint in Turkey. We're expanding our manufacturing footprint in India. Both of those are largely to serve those regions. In some cases, it's, you know, to serve The Middle East and to serve, you know, a few other places. In addition, you know, when we looked at Barnes, you know, we looked at that vertical capability. And how we would make good use of that foundry, not only for what is now a very nice and sizable market for us in Latin America, but obviously to serve, you know, Northern Latin America and The U.S. So those are in process right now, and and we're working on taking advantage of that. I think from a footprint standpoint, those are those are some strategic advantages that we have. We've also looked at, I know, other companies have in terms of what what makes sense to to move or to shift for it's more about assembly and supply chain, not a major shift in our manufacturing strategy overall. Great. Really appreciate it. Thanks.
Operator: Thank you. And I'm showing no further questions at this time. So with that, I'll hand the call back over to Chief Executive Officer Joe Ruzynski for a couple of remarks.
Joe Ruzynski: Thank you very much, and thank you, everyone, for joining us today. I'd like to close out by sharing that I'm very pleased with our team's hard work and execution during this very busy first quarter. We feel good about our start to the year and how we're positioned as we enter the second quarter. We are widening our guidance on the low end of EPS, but have plans in place to address tariffs, solve problems, serve our customers every day, and feel good about our strategy. It's the right one, and we're focused on improving our margins, finding the next best acquisition, and delivering great new products to our customers. Our expectation is for a great year of progress and strong performance. Thank you, everyone, and have a great week.
Operator: Ladies and gentlemen, thank you for participating. This does conclude today's program, and you may now disconnect.